Operator: Good day, and welcome to the Trecora Resources Fourth Quarter and Full Year 2018 Earnings Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to Jean Young from the Piacente Group. Please go ahead.
Jean Young: Thank you and good morning everyone. Welcome to the Trecora Resources fourth quarter and full year 2018 earnings conference call. The earnings release was distributed over the wire services after the close of the financial markets yesterday afternoon. Presenting on our call today will be Pat Quarles, President and Chief Executive Officer; and Sami Ahmad, Chief Financial Officer. Chris Groves, our Corporate Controller, will also be available for the Q&A session. Following management's prepared remarks, there will be a Q&A session. Before we get started, I would like to review the Safe Harbor statement. Statements in this presentation that are not historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are based upon management's beliefs and expectations only as of the date of this teleconference, March 7, 2019. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those projected. These risks as well as others are discussed in greater detail in Trecora's filings with the SEC, including the company's most recent Annual Report on Form 10-K and subsequent quarterly reports on Form 10-Q. During today's call, management will also discuss certain non-GAAP financial measures, for comparison purposes only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued after the close of the financial markets yesterday afternoon. This webcast is accompanied by a slide presentation that is available on the company’s website www.trecora.com. At this time, I'd like to turn the call over to Trecora's President and CEO, Pat Quarles.
Pat Quarles: Thanks, Jean, and thanks to everyone joining the call this morning. I have been in the seat here at Trecora now about three months. I’ve learned a tremendous amount about the company, what challenges we have and where our strengths lie. That has allowed me along with my management team to define a clear set of priorities for ourselves and the organization. We have also committed to a culture of candor and in that respect Trecora's results in 2018 including the fourth quarter were unacceptable. Our fourth quarter results reflect significant negative impacts of the Advanced Reformer outage and exiting a specific custom processing arrangement in Silsbee these economics couldn’t be supported. While we executed the catalyst change on time and slightly under budget, we incurred downgrades of the byproducts that were roughly $0.45 per gallon worse than we could have realized where the unit running, they're also $0.45 per gallon worse than the third quarter. If you look back on the year as a whole, our step down and results were almost exclusively due to poor operation of our assets and higher operating and freight costs. The markets really were not our problem. Sales volumes of our high purity petrochemicals increased over 8%. We grew wax sales volumes over 5% and we had successes driving price increases in both businesses. Our custom processing activities were not constrained by opportunity. We've taken important steps to meaningfully improve our performance and some of those steps have already begun to show results. We are prioritizing what can be most impactful in the short run while steadily building a foundation of long-term performance. As a manufacturing company, first and foremost, our transformation begins at our plants. Dick Townsend joined the Company in June of last year as Chief Manufacturing Officer and immediately began implementing his plan focused on safe and reliable operations while providing quality products to our customers. I am pleased to report that we have worked injury free throughout our Company since October of last year, both the fundamental in manufacturing and a key leading indicator for reliable, low-cost operations. Our second near-term priority in manufacturing is the reliable operation of the Advanced Reformer unit. After returning the unit to service in the first week of January is run reliably since. This has been accomplished through skills training in the field, improved planning, leveraging outside resources where appropriate, and utilization of process monitoring and control capabilities of the unit. We're taking an identical approach to our distillation and hydrogenation units in Pasadena, Texas, and are beginning to see improvements there already. However, I caution you the bill to improve financial results will not be as rapid as running the Reformer reliably given the nature of that business. Underlying safe and reliable operations is a constant commitment to driving productivity when it doesn't undermine our safety or reliability. We executed a significant force reduction in Silsbee at the end of 2018 that will provide $2.5 million annual savings in 2019. I want to recognize the site and their leadership that we were able to accomplish is very important, but distracting change without incurring an injury and brought the Advanced Reformer back online safely and without incident. Our focus is broader than operations. We are pleased to welcome Joe Tanner to the company to lead our commercial activities. Joe would join us next week. We're changing the culture of our commercial decision making, backing up decision making with analytics and capturing our fair value from the market, that's the revenue side. On the cost side, we're taking short-term decisions to lower our logistics costs by doing such things of subleasing excess rail cars and getting relief from our customers on supply chain costs, driven by old contracts. Long-term we're investigating structural opportunities to both lower our costs and improve our execution. Our board is also continuing to refresh itself. Me joining the board in the third quarter was part of that effort. Last month, we announced the Karen Twitchell, a board member since 2015, had been appointed chair, replacing Nick Carter, who remains on the board. As we think about 2019 and beyond, understand my focus is on taking actions that drive the greatest improvement as soon as possible. While we will not be giving specific forward-looking guidance, I am confident we will see a step up in our results in 2019 versus 2018. Our improvement will be driven by their liability of our assets, productivity opportunities and capturing greater value through commercial initiatives. The Advanced Reformer is performing according to its design criteria. We're getting most of the benefits from upgrading our existing byproducts that we were expecting. We'll continue to optimize the unit, but we have made progress and are on that path. The U.S. Gulf Coast industry investments continue and the U.S. economy is strong. This gives us confidence that the market growth continues to provide opportunities for our specialty petrochemical business and our specialty wax business. I believe that the technical challenges we have seen with respect to custom processing are flexible. Demand in the oil sands market remains volatile and they are under pressure both to reduce production and drive costs out of their systems. I do think we have risk on oil sands demand. Lastly, we remain committed to monetizing AMAK. We're in discussions with a leading global investment bank with strong mining expertise. Please note that there are challenges to this process given the complexity of its location and our minority share. We’ll keep you apprised as we pass key milestones in that process. We're committed to the safety of our employees, the reliability of our assets, the high quality of our products, and the overall competitiveness of our company. I've been speaking with our key investors along the way and plan to continue to do so. By prioritizing the most meaningful outcomes and implementing needed changes, we believe will return Trecora to a higher and more sustainable level of financial performance. Now I'll turn the call over to Sami Ahmad, our Chief Financial Officer, for a more detailed discussion of our results.
Sami Ahmad: Thanks, Pat, and good morning to everyone. Our adjusted EBITDA was $2 million for the fourth quarter and $20.3 million for the full year 2018. Overall as Pat remarked, operational inefficiencies and higher plant operating costs largely drove the poor fourth quarter and full year 2018 performance. I'll talk more about our fourth quarter in a moment. We believe our outlook is more optimistic. Having recently completed a multi-year capital program, our major CapEx spending is largely behind us. And going forward, we expect our CapEx run rate to be approximately $10 million per year. Additionally, going forward, we expect to use free cash flow that's generated for debt reduction. Regarding AMAK, at year end, we received approximately $5.3 million of cash from AMAK’s partial repurchase of its outstanding shares from its existing shareholders. Our ownership in AMAK remains at 33.4% and at this time it is uncertain if we will receive additional cash from AMAK in 2019. Let us now begin by looking at our key financial metrics in the fourth quarter and full year 2018 and by the way you can see that on Slide 5 of the posted presentation. Total revenue in the fourth quarter was $74.7 million compared with $66 million in the fourth quarter of 2017, an increase of 13.2%. For the full year 2018 revenues were $288 million, which is an increase of about 17.5% from 2017. Earnings per share on a diluted basis were a negative $0.22 per share for the fourth quarter and negative $0.10 per share for the full year 2018. Let me spend some time talking about adjusted EBITDA. Adjusted EBITDA for the fourth quarter for truck was $2 million. This excludes a charge of $2.3 million for restructuring and severance related costs and this was related to executive terminations in 2018 and the previously announced reduction in workforce at our Silsbee, Texas facility. This restructuring charge is broken out separately for you under G&A in the income statement in the earnings release. Adjusted EBITDA for the full year was $20.3 million and this figure also excludes the $2.3 million restructuring charge. Adjusted EBITDA for 2017 was $31.7 million. Focusing on the fourth quarter a little bit, adjusted EBITDA for the fourth quarter 2018 declined by approximately $3 million from the third quarter of 2018. This was largely driven by the Advanced Reformer outage at the specialty petrochemicals facility and Silsbee specifically byproduct volumes of approximately 6.4 million gallons in the quarter had to be sold at a significant negative margin. Byproduct volumes are produced, as you know, along with our prime products. Byproduct margin in the quarter was a negative $0.19 per gallon and this compares to a positive $0.29 per gallon in Q3 when the Advanced Reformer ran for a large portion of that quarter. This had a negative impact of approximately $3 million in the quarter. With the Advanced Reformer unit now running normally, we don't expect to see this negative impact. Additionally, in the fourth quarter, we incurred costs related to exiting an uneconomical custom processing arrangement at the Silsbee facility. As a result, we incurred one-time costs of approximately $1.1 million in the fourth quarter. CapEx for the quarter and the full year 2018 was $6.2 million and $25.3 million respectively. Included in the CapEx for the fourth quarter was approximately $3 million for the Advanced Reformer catalyst change out. Debt at year end stood at $103.3 million including revolver balance of $18 million with additional revolver availability of approximately $20 million. Operating cash flow for the quarter was approximately $8.8 million and approximately $20 million for the full year 2018. Depreciation and amortization for the quarter was $4.3 million and $14.4 million for the full year. G&A expenses for the quarter was $5.3 million and $23.1 million for the full year as a percent of revenue G&A was 8% for 2018 full year compared with approximately 10% in 2017. Finally, looking forward for 2019, we expect our effective tax rate to be approximately 21%. Now let me walk you through some key metrics of the business segments starting with specialty petrochemicals. EBITDA for the specialty petrochemical segment was $2 million in the fourth quarter and $22.7 million for the full year 2018. In the third quarter of 2018, the EBITDA for the segment was $6.2 million. Total sales volume in the fourth quarter was 25.1 million gallons compared with 22.8 million gallons in the fourth quarter of 2017 and 21.6 million gallons in the third quarter of 2018. Prime product volumes in the fourth quarter was 18.7 million gallons and this compares with 17.1 million gallons in the fourth quarter of 2017 and 17 million gallons in the third quarter of 2018. In the fourth quarter, we benefited from an uptick in demand in the oil sands, which we have not really seen continue into the first quarter 2019. Prime products sales grew 8.5% year-on-year, largely driven by the higher sales to the oil sands. We saw modest growth across our major markets in polyethylene and polyurethane. Polystyrene market growth was strong, but largely driven by some one-time opportunity sales that we had in the first quarter of 2018. As I mentioned previously, the big drivers in the decline in adjusted EBITDA from Q3 to Q4 was the impact of the Advanced Reformer outage on byproduct margins and the costs related to the exit of the custom processing arrangement at the Silsbee facility. Both of these are limited to the fourth quarters. In the first quarter, we expect turnaround expenses of approximately $500,000 at the Silsbee facility. We're focused, very focused on managing operating costs at the Silsbee facility above and beyond the announced reduction in workforce, and these include initiatives to reduce freight and logistics costs, which Pat touched on and which have increased significantly year-over-year. Moving on to specialty waxes, specialty waxes segment, which is based at our Trecora Chemical facility in Pasadena, Texas had EBITDA of a negative $0.1 million in the fourth quarter of 2018 and 1.8 million for the full year. The segment had EBITDA of $0.4 million in the third quarter of 2018. Sales volumes increased 5.3% year-on-year while average pricing was up 9% as the business benefited from an improved wax sales mix. The decline in sales volume from Q3 to Q4 was largely due to seasonal factors. By year end 2018, we were successful in securing additional wax feed supply while at a higher cost this will allow us to have sufficient wax supply – wax feed supply to continue to grow the business profitability. This segment also includes custom processing at the TC facility. Growth in custom processing continued to be constrained by operational and reliability issues with hydrogenation and distillation. As Pat mentioned, TC has efforts underway to fix the unit. B Plant revenues were about $2.9 million in 2018 and that's up 3% from 2017. Operating expenses at TC increased significantly from 2017 due to higher costs for labor and equipment maintenance, including operating challenges with the hydrogenation and distillation units. In the first quarter 2019, TC will have turnaround and related expenses of approximately $500,000 to $600,000. Moving on to AMAK. Trecora reported equity in losses of AMAK of approximately $0.2 million in the fourth quarter of 2018 and $0.9 million for the full year 2018. Importantly, as a result of improved operations, AMAK had net profit before depreciation and amortization of $26.7 million in 2018 and this compares to $5.6 million in 2017 and $2.2 million in 2016. AMAK sold 58,000 dry metric tons of concentrate in 2018 compared to 2017. AMAK is in the process of completing the update on reserves for a revised life of mine. This is expected in the second quarter. Additionally, as Pat mentioned, we're in discussions with a major global investment bank to help us sell our interest in AMAK. With that this concludes our prepared remarks. And at this time, I'd like to ask the operator to open the call up for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Jon Tanwanteng with CJS Securities. Your line is now open.
Jon Tanwanteng: Good morning. Thank you for taking my questions.
Pat Quarles: Good morning, Jon.
Sami Ahmad: Good morning, Jon.
Jon Tanwanteng: Pat, you mentioned that you didn't or maybe Sami that that you didn't see activity from the oil sands in the first quarter and they did a lot in Q4. Can you quantify what kind of risk you're seeing in 2019 from a year-over-year basis from the oil sands customers?
Pat Quarles: Yes, I think what I talked about with some pressure on demand and we've read about that in the press politically that’s trying to turn down production in the region. We also have – as that – as the crude prices have come down, these are effectively manufacturing operations and they're doing a lot of focus on just their costs and opportunities to become more efficient. So, if I look year-on-year for oil sands, 2018 verses 2019, I doubt we'll be flat in volume by the end of the year. I think we'll be down 5% or so in the oil sands [indiscernible] to market.
Jon Tanwanteng: Got it. And can you remind me how big it was as a portion of revenue in 2018?
Pat Quarles: I don't think we've disclosed it in terms of percent of revenue, Jon, but it's fair to say that it's a large portion of our prime products business.
Jon Tanwanteng: Okay, got it. With regards to the custom processing arrangement you exited, how big was that on a sales basis? And can you replace that customer quickly with what you have in the pipeline?
Pat Quarles: Yes. So, Jon, candidly, it's an example of opportunities we have in the company to better kind of understand what we're doing. You won't really see an impact I think from a revenue perspective going forward because as we really dug into our numbers, I think we were coming to realize that the cost associated with that deal weren't adequate whatsoever for the revenue that we were getting. And as we engage the customer on that challenge, ultimately there wasn't enough value in that total value chain to justify continuing. So we agreed effectively to exit. The costs that you see in the fourth quarter relate to a planned turnaround that we had on the unit and a significant discovery on effectively erosion/corrosion of the unit, given the service that was in. And that was one of the primary drivers for why we quickly conclude. It was going to make sense to continue going.
Jon Tanwanteng:
projects to client:
Pat Quarles: Yeah, it’s an interesting unit. It’s got – it's an HDS unit with hydrogenation capability. So we think there could be uses for it potentially either externally or internally at the Silsbee site and we're working on both.
Jon Tanwanteng: Okay. Sami, you usually have a chart for input pricing in the presentation and I'm not sure I noticed at this time. But what are the trends that you've been seeing? What are you expecting in 2019?
Sami Ahmad: On feedstock pricing?
Jon Tanwanteng: Yes.
Sami Ahmad: Yeah. I mean, obviously, you saw in the fourth quarter a sharp decline in natural gasoline feedstock pricing and that’s basically tracked crude, more specifically Brent Crude as you know. We've seen an uptick in feedstock pricing over the last number of weeks. It's roughly back to where it was in the early part of fourth quarter. And I'm referring to Mont Belvieu natural gasoline. For the most part, we've been able to on the non – you know about the formula piece. There are some lead lag things going on in the formula side. On the spot side, we've had a little bit of giveback, but we've been able to maintain most of that.
Jon Tanwanteng: Okay, great. And then, finally just – you'd mentioned that there are some extraordinary costs heading into Q1 on both the Trecora and South Hampton side, I think the 500k for both of them. When do you see those kind of coming down to neutral and you're fully operational without these extraordinary cause going on?
Pat Quarles: So the – I think you're referring to the turnaround work, the same you alluded to it both. That's not extraordinary. That's normal course, operations and maintenance. Those are planned turnarounds of a variety of units, fairly extensive at TC and then just one particular unit in the case of Silsbee. Those are completed. I'd say frankly, two out of three went really well on time, on budget. We did have a fair amount of discovery in one of the units at Silsbee. So we were a bit late coming back. It didn't impact customers or our ability to supply, but we did incur a bit more cost that we're anticipating, but that is all now complete. And so, the numbers that we talked about reflect the completion of that activity and not real uncertainty remaining for the first quarter for our maintenance costs.
Jon Tanwanteng: Okay, great. And then just final one from me, do you plan to be running your full byproduct volumes through the reformer starting this quarter?
Pat Quarles: That's correct.
Sami Ahmad: Yeah.
Jon Tanwanteng: Okay, great. Thank you.
Operator: Our next question comes from the line of Joseph Reagor with ROTH Capital Partners. Your line is now open.
Joseph Reagor: Good morning guys and thanks for taking the questions.
Pat Quarles: Good morning, Joe.
Sami Ahmad: Good morning, Joe.
Joseph Reagor: So just two items. The first one you guys gave some guidance on G&A or on a capital expenditures going forward, but can you give us a little bit more guidance on what you expect G&A level to be with all the restructuring changes.
Pat Quarles: Yeah. So that was – so, obviously, we carved out the costs related to that and that's why we showed that separately. I think what you can expect on G&A side is no material change. I mean, there were replacements certainly on the executive level in terms of staffing. Within G&A, there's really no appreciable change from a headcount. So, other than cost of living and that kind of inflationary adjustment, I think you ought to just assume that run rate.
Joseph Reagor: Okay, fair enough. And then can you give us a little bit more color on the wax volumes? The wax volumes went down, but your revenue went up. And is that something we should look at going forward that you're gaining more pricing power? Or is that kind of a one-time seasonal quarter?
Pat Quarles: Right. So in the last couple of quarters, Joe, you're probably referring to the wax volume chart, the bar chart with the trend line on it. Remember in the first half of the year, we were pulling down inventory at Trecora Chemical. And then in the third quarter we had a little bit of a supply interruption or issues relate to wax feed. And then in the fourth quarter, it's seasonal. So when you look at fourth quarter 2017, a year ago, you'll see fourth quarter 2018 is actually much higher than that – not much higher, but along that level. So there is nothing structural there. We've been able to secure more wax feed, so that will help us continue to grow volumes. As we've talked, we are upgrading our sales mix. So you see that in the price change year-on-year more into the HMA1 and PVC and some of the higher value markets. So the wax component of our business is actually doing well.
Joseph Reagor: Okay, thanks. I’ll turn it up.
Operator: Our next question comes from the line of Sarkis Sherbetchyan with B. Riley FBR. Your line is now open.
Sarkis Sherbetchyan: Good morning and thanks for taking my question here.
Pat Quarles: Yes, Sarkis.
Sami Ahmad: Good morning, Sarkis.
Sarkis Sherbetchyan: So just want to kind of come back on the Reformer unit. So I think if I look at 2018, you sold over 20 million gallons of byproducts, you said the reformers is operating and assuming we have another 20 million gallons in 2019. Do you expect that volume to be processed fully or some percentage of that? And then also what's the margin for gallon uplift you're expecting?
Pat Quarles: Sure. So the quick answer of course is yes. We do fully have the capability to upgrade all of our byproducts. So really the difference between selling them into the distressed market, which is what we were forced to do in the fourth quarter as depentanised naphtha versus taking them through the reformer and getting the higher value. So that is the expectation we have for 2019. As we said, we've been running really reliably throughout the first quarter thus far. If you look at the uplift we've been getting, it's been essentially a bit below $0.30 a gallon. The drivers there are really twofold. One is a kind of how the Aromatics markets are performing in terms of price and our ability to get maximum conversion of benzene and toluene production across the Reformer. On the production side, I'd say the unit is performing according to design. Of course, we have new catalyst in there. It's performance – it’s very hot. It's very active. And we're learning to control it appropriately. I think we'll have some optimization opportunities as we go forward to kind of continuously improve it. But we're not at the $0.30 per gallon, which I would say it's kind of our target today. And a big piece of that was the benzene pricing element, which has improved and we would expect to improve seasonally as we go through the rest of the year.
Sami Ahmad: The one thing I would add to that Sarkis is that there is volume contraction when you go, take the feed and run it through the reformer. So in the fourth quarter, we were selling depentanised naphtha, which is normally would be the feed. And then when you run it through the reformer, there's a volume contraction as you form the Aromatics. So you can't just take the fourth quarter volume and annualized it.
Sarkis Sherbetchyan: And could you discuss what the contraction might be?
Pat Quarles: Yeah, I mean it's common in Advanced Reformer because you're converting these scrape chains into aromatics. It’s somewhere around 70%, 75% yield, volumetric yield, not mass yield, volumetric yield that you get from the feed.
Sarkis Sherbetchyan: Got it. And then just kind of moving on, in prior presentations, the company has outlined potential incremental annual EBITDA from the newly installed projects, right. The range was I think $28 million to $36 million by 2022. Are those targets still valid? Can you provide maybe some updates for us?
Pat Quarles: Sarkis, I think, given where I am in first three months, my focus has really been on driving everything we can drive kind of been here and now to make this thing better, a lot of that gets down to the reliability of our assets. We've talked about getting our commercial portfolio cleaned up. I'm not really ready yet to talk about that 20, 22 number. I think there's too much yet to be demonstrated in our capabilities to really execute on what we have in. So I'd say right now our focus is on 2019 and just continuing to drive and pull every lever we have available to us.
Sarkis Sherbetchyan: That's helpful. Thanks for that. And then with regards to the cost reduction from the December reorg, can you maybe breakdown what portion of that $2.5 million I think was relates to COGS versus G&A?
Sami Ahmad: Yeah, so there's no G&A in that. It's really plant operating costs and it's really related to when we completed the Advanced Reformer project and capital work was done, construction, labor, associated, kinds of costs. We had – the four was on the balance sheet and then it had to be demobilized. So that's what that's all related to. And it's localized at Silsbee. So it's not both plants. So it's just the South Hampton facility. And the expected benefit as we disclosed is about $2.5 million on an annual basis. And as Pat mentioned, obviously, we're already seeing the benefit of that cost reduction here in the first quarter.
Sarkis Sherbetchyan: Great, I'll take the rest off line. Thank you.
Sami Ahmad: Okay, thanks.
Operator: Our next question comes from the line of Rosemarie Morbelli with G-Research. Your line is now open morning.
Joe Catania: This is Joe Catania on for Rosemarie. Thanks for taking my question. Looking at the release, I noticed, and you discussed this as well that you hired Joe Tanner for heading up commercial. I seem to recall there being another hire for commercial sometime mid-last year. Is this a replacement or is this just building out the team? Or what's the dynamic there?
Pat Quarles: Yeah, it's a replacement.
Joe Catania: Okay.
Pat Quarles: Yeah, you're recalling Mike Humby. He left during the fourth quarter.
Joe Catania: Okay, thank you. And can you give a little bit more color on the oil sands demand? I know you've talked about it a little bit here, but everything I've heard previously from you guys is expect this demand to grow and now it looks like it's going to pull back a little bit. Can you give a little bit more detail on that?
Pat Quarles: Sure. Listen, I think as we all appreciate oil markets are volatile and extraordinarily dynamic. If you think about what's going on in North America and the development, particularly of shale oil production and the pressure that has put on other kind of channels of production of crude, I think it's impacted the oil sands and they're feeling that pressure today economically. They're also constrained as you know by pipeline off take out of Alberta. So their net backs improved or not the WTI numbers that we see posted in Oklahoma and Texas. I mean, they're materially lower on a net back. So economically that's just driving them one to consider alternatives for production in other parts of the continent. And secondly, again, since it's effectively mining and manufacturing. And like any good manufacturer, they're driving efficiencies in their processes and they focus on ways to become more efficient part of that is looking at their solvent consumption. So for those reasons, I mean, I just – as I gotten into this, I just want to raise some caution about as long-term expectations of growth.
Joe Catania: Great, thanks.
Operator: Our next question comes from the line of Bill Dezellem with Tieton Capital. Your line is now open.
Bill Dezellem: Thank you. Sami, would you please repeat the numbers that that you said from a byproduct perspective in terms of what your loss per gallon was in the Q4 and what's the net profit per gallon was in the Q3?
Sami Ahmad: Certainly, Bill. Let me just go to that page of my script and I will be happy to repeat that. So what I mentioned is that in the fourth quarter because of basically what we talked about having to sell the byproduct at below feed, the negative margin was $0.19 per gallon. In the third quarter, when the unit ran, not for the full quarter, but it ran for a large portion of the quarter and the aromatics prices were decent. The margin was $0.29 per gallon. So that's the Delta you saw that Pat referred to.
Bill Dezellem: Understood. Okay, thank you. And just to make sure that we're doing this math correctly, you'd take the 6.4 million gallons of byproduct that you sold and multiply it times to $0.19 per gallon loss. And that ends up providing the loss of $1.2 million on the byproducts alone, not taking into account the differential between breakeven and what you otherwise should have had as a profit?
Sami Ahmad: Yes…
Bill Dezellem: And did I also hear correctly that we wouldn't take the $6.4 million gallons and multiply it times say to $29 because you do have a loss of roughly 25% of volume when you do upgrade and run the byproduct through the Advanced Reformer.
Sami Ahmad: Yeah, there's volume contraction that's a result of the reforming process, yeah.
Bill Dezellem: Okay. And then also to make sure that that I'm clear that in the fourth quarter you had more byproduct volume than you have in past quarters because you had more prime product volume. So in essence what's normally a good thing, having higher prime product volume actually in a sense worked against you because you had more byproducts that you then sold at a loss?
Sami Ahmad: Yeah, that's actually a good point. So there were a couple of things that were going on. One was we had more prime products and so generated more byproducts. Secondly, with the reformer unit not running, you were selling the feed rather than the product coming out of the reformer unit and that's the volume contraction and obviously the margin was severely negative.
Bill Dezellem: Whereas in future quarters when you have success growing prime product volume then as the Advanced Reformer running, you'd actually also make money on the byproduct as opposed to – as opposed to losing money as you did in the Q4?
Sami Ahmad: All right. One thing to clarify, I didn't mean negative margin of prime products. Prime products were fine. Yeah, it's the byproduct. And historically, when you look at it prior to the reformer, Advanced Reformer, yeah, it's – the margin just kind of bounced around zero. Sometimes it was positive, other times depending on what was going on in the fields mark it'd be negative and it bounced around zero.
Bill Dezellem: Great, thank you. And then, Pat, what are you wanting to see out of Joe Tanner that you've not had up to this point?
Pat Quarles: Well, okay, to be clear, when I stepped in, we've had nobody in this seat. So it's – there's lots of opportunity here. I think as an organization, what I've found is one of kind of the foundational pieces that we need to dramatically improve is our planning one to understand where we're going and why. And then of course kind of the commercial experience to know how to drive those outcomes into negotiations with customers with service providers on supply chain as well as procurement. So I've worked with Joe in the past. We think about business in a very similar way. We will start with the analytics to understand where we are with respect to a business case and we will apply our experience and business acumen, if you will, to go and drive successful outcomes and the different negotiations that we have. So I know Joe will bring that and I'm looking forward to him starting next week.
Bill Dezellem: What's the magnitude of the either lost opportunity in the past or the forward opportunity that you see from what you just described?
Pat Quarles: Yeah, I don't have a number for you, but it's going to be significant in my mind. There's an example and this is of course we've got this accomplished before Joe arrived, but we've gone through a renegotiation of one contract, for instance, that allowed us to do a variety of things. We modestly upgraded the fee. We were able to reduce the ratability of our volume metric commitment would allow – which allowed us to reduce the size of our rail car fleet. And we also better represented the cost of our logistics that the customer should be bearing. So if you think about that, that's really all three or at least three of the key elements of a contract where we had the opportunity to improve our value capture. And it's at that level of detail as we go through contract by contract that we're going to see improvements as time goes forward. I don't want to set the expectation that we sit here for a month and go through a bunch of analysis of our business and the next month everything changes. This takes time as we roll through contracts, as we engage our supply chain partners to make the changes we need to make, but it will put us on the right path. I think we'll see really good value creation through it.
Bill Dezellem: Pat that sounds like there are millions of dollars of profit potential over the course of the year, are there also – not immediately but over time millions of potential incremental profit per quarter?
Pat Quarles: Yeah. As I said earlier, I'm not going to set a number out there right now beyond a very short horizon that that I've had to go and make this thing better. Millions of dollars, I don't disagree that we have an opportunity for significant improvement where the night starts next quarter. I don't want to set that expectation frankly. We're on the path. We're already making positive contributions and that should just continue to gain momentum in the weeks or in the months and quarters ahead.
Bill Dezellem: Great, thank you both.
Pat Quarles: Thank you.
Operator: Our next question comes from the line of Mitchell Sacks with Grand Slam Asset Management. Your line is now open.
Mitchell Sacks: Hey, guys. I'm trying to get my hands around gross margin in both businesses. And I was kind of hoping you could kind of just back into – if I look at last quarter and like kind of give you the add backs for byproduct and for the unprofitable tolling business. It still has a bit of a lower gross margin than you kind of historically operated in the business? And so the question sort of two parts on this part. One is you've kind of been in the mid to upper teens gross margin historically. Is that an area that we should be looking at? Is that achievable? Is that – how do I think about that kind of going forward – having looked at last year and in fourth quarter?
Sami Ahmad: Sure. So, Mitch, I think if you reflect back on the comments the company made over the last year, the element that we haven't really talked much about today, but we're certainly true for last year, was the escalation in logistics costs, right. And I think that's been a topic on these calls in the past and they remain a real headwind for us today. It reflects not only costs with just straight freight relates to costs of things around our fleet that have escalated and it relates to kind of the size of the fleet that we have been maintaining to meet customer requirements. I think all of those present opportunities to improve and need to improve to get us back up to that high teen type gross margin.
Pat Quarles: And just to add to that, Mitch, in terms of the bridge that you were describing in terms of the one-time and so on, so the other piece is the impact of the cost reduction. We said $2.5 million annually. Prior to 2018, those costs were – substantial portion of those costs weren't there. The third item that has really affected operating costs is at TC or the Pasadena facility. And that cost structure has grown really because of the difficulties we've had on the HD unit. And so, we're looking at costs up and down the line across both sites.
Mitchell Sacks: Okay. And then with respect to the wax business, you're going to be having this higher cost fee come in, but you're able to sell the higher grade of wax. How do we sort of think about gross margins in that business? And does that business ever get to gross margins that are similar to your South Hampton business?
Pat Quarles: Yeah, so I think I don't have the math for you in my head, Mitch, on the difference in gross margin ultimately between those two businesses. I think on the increment, we're having success driving those higher value products that are justifying the sourcing of these higher costs feeds, right. It also – the higher cost feeds also put us in a more reliable supply position because we can source – just diversifies our supply base. So I think we're directionally heading and our ability to upgrade, I think last year you also saw a lot of focus on our inventories that drove high volumes, but not necessarily high value. So that will come out of our mix as we move forward as well.
Sami Ahmad: And the other thing that's really going to drive gross margin or adjusted EBITDA margin, however way you want to look at it at – in the wax business, our TC, Mitch, is really going to be custom processing revenue growth. And that's been lacking. So we've had the costs related to it certainly in 2018, but we haven't had the commensurate revenue growth on custom processing. So it's both prongs on the wax side and the custom processing side.
Mitchell Sacks: And then with respect to the custom processing, how close are we to having that HD unit to a point where you can market it with high degree of confidence that you can make the profits that you expect to make on each individual transaction?
Pat Quarles: Yeah, I think the way we need to be thinking about the hydrogenation unit is no longer as binary either it's working or it's not working because it's working today. We actually had successful production across the unit prior to the turnaround in the first quarter. What we have to do at this point now is be selective and ramping up I'd say the complexity of the products and the type of custom processing service that we do on that unit as we go forward. But we're already beginning to base load it with what I would just call relatively straightforward type products. And now we've returned from our turnaround, we're back at that production, but now it's going to be a matter of just incrementing up higher value use of it and higher utilization of it. But it's – from an operability perspective, it's just continued to really improve over the past quarter.
Mitchell Sacks: So let me, I guess, maybe differently ask the question then would be to say where are you at in terms of selling capacity? Are you still in a very low state or are you starting to get real either demand or flow through?
Pat Quarles: We’re in the low rate today. We've got lots of ability to continue to drive that.
Mitchell Sacks: And is there demand for that?
Pat Quarles: There is. We think there could be internal demand as well as demand as a custom processing service. But again – and we talk about demand, it's not maybe monolithic is the wrong word, right. Each project, each conversation we have with the customer really often reflects, different product in a different need that they have across that unit with different needs and kind of characteristics. So again, we have to be selective on what's a good fit for us today given our capabilities. And then as our capabilities improve, we can get more complicated.
Mitchell Sacks: Okay, thank you.
Pat Quarles: Thank you.
Operator: Our next question comes from the line of Wolf Joffe with EVR. Your line is now open.
Wolf Joffe: Hi.
Pat Quarles: Good morning.
Sami Ahmad: Good morning.
Wolf Joffe: If the oil sands volumes are down 5% year-over-year in 2019, what should that result in for total impact to Southampton's volume growth in 2019?
Pat Quarles: I would expect the total volume can be down a bit this is a big chunk of our sales portfolio. And we're seeing reasonable growth on other end uses. As I mentioned briefly in my comments, investment along the U.S. Gulf Coast in the chemical industry continues. We had a startup of a major polyolefin unit in last weeks. And we have business associated with that unit. As they continue to line out their production, that demand increases. So it will be flat to slightly down, I think, year-over-year, generally speaking. 
Wolf Joffe: Okay. Did you achieve higher gross profit per gallon on prime volumes in the fourth quarter versus Q3?
Pat Quarles: Yes, I mean, our margins did improve we touched on that stock declines, so yes. 
Wolf Joffe: Okay. And if we assume Southampton volumes are flat in Q1 versus Q4 and obviously it sounds like the reformer is now working, how much EBITDA can Southampton generate in Q1? Again assuming flat volumes with the reformer network.
Pat Quarles: The reformer in the first quarter, we said, it started up in early January and it's working according to design.
Wolf Joffe: Well, I think, given where your leverage is and obviously you guys say that you expect improved financial performance, it would help your shareholders if you could actually put some numbers around this. And so if we just assume that your volumes are flat in Q1 versus Q4, again, how much EBITDA can Southampton generate with the reformer networking? 
Pat Quarles: So if you think about kind of the components we talked about earlier, so start with our adjusted EBITDA in the fourth quarter, about $2 million. With the reformer running, right, so we're going to get the upgrade of byproducts versus the significant downgrade, quarter-to-quarter that’s about $3 million improvement. We're going to – we have the exit of this custom processing arrangement at Silsbee behind us. That was roughly $1 million that hurt us in the fourth quarter. And we have executed the cost reductions that we've been talking about, which began to benefit us in January, so that's over $0.5 million. So if you just take those three drivers, that gets you from $2 million to north of $6 million run rate and almost $7 million run rate in the first quarter. Now offsetting that, we talked about the turnaround work that we have at both sites and that's roughly $1 million. So if you just take those headline numbers, that's about $5.5 million quarter-to-quarter. 
Wolf Joffe: Thank you.
Sami Ahmad: Yes. And then also adding to that is prime product volumes were strong in the fourth quarter and as we mentioned we're going to see weakness in that particularly related to oil sands. So you would adjust for that. 
Wolf Joffe: Understood. Thank you for the assistance there. My last question is the presentation published to accompany your third quarter earnings call, said that the 10x units would operate in the fourth quarter supportive by the old reformer, did that not occur? 
Pat Quarles: Yes, that that did occur, but that old reformer really has very little contribution. Effectively what that did, it helps us meet our hydrogen balances around the site. But economically it really doesn't contribute.
Sami Ahmad: And capacity wise, it's much, much smaller than the new reformer.
Pat Quarles: Yes, let's say, I want to be candid with everybody, right. So I think if you reflect back on expectations that were set in that call versus what the fourth quarter turned out, I think, it was a miss, I think, it was a miss on our part because we didn't fully reflect the downgrade that was going to happen as those byproducts didn't get converted, didn't get upgraded. 
Wolf Joffe: I guess if the old reformer was working, it would have been upgraded somewhat, right?
Pat Quarles: It has very low conversion to Aromatics. And conversion to Aromatics is where the value creation is. So it doesn't really drive much value. So we get some hydrogen off of it, as I said, to balance the side, but that's not an economic driver for the results.
Sami Ahmad: If you look at historically, when we had the old reformer there was – the margins for byproducts floated around $0.00 per gallon plus or minus. There was not sufficient uplift above feed.
Pat Quarles: And then maybe just to be clear, sometimes we confuse ourselves even. We talk about reformer, there's the old Aromax Unit and then there's a reformer there, right. The old Aromax Unit is out of commission. It was past its useful life. That was not available to us in the fourth quarter.
Wolf Joffe: Understood. Thanks for your help. 
Pat Quarles: Yes.
Sami Ahmad: Yes. 
Operator: Our next question comes from the line of John Tanwanteng with CJS Securities. Your line is now open.
John Tanwanteng: Hi guys just a couple more from me. Sam, how do you stand with your bank covenants and debt in the quarter? 
Sami Ahmad: Yes, so we ended the quarter, in compliance we had availability on the revolver in terms of incremental debt of approximately $20 million. And as I've said in the past, we have a very supportive bank group. We are in regular contact and discussion with them. And in the future if we need some more relief, we work in partnership with our banks. 
John Tanwanteng: Okay, great. And then where do you expect to be by the end of the year in terms of net debt and leverage, just giving a ballpark for what you expect to earn or generating cash flow?
Sami Ahmad: Well, I'm not going to give you guidance, John you know that. But what I will say is the company broadly speaking has a target. We need to de leverage. Four times is not where we want to be. Where we'd like to get to is around 2.5 times to 3 times as we've mentioned before in terms of debt-to-EBITDA. So that's really another turn of EBITDA in terms of debt reduction that we have to achieve. And that's going to come both ways. I mean we're going to pay down debt and hopefully as Pat said, we're going to grow the denominator also in terms of EBITDA to get to those levels.
John Tanwanteng: Okay, great. Can you help me in maybe just what’s your cash tax bill is expected to be this year? 
Sami Ahmad: Yes, I mean, cash tax should be minimal because we have NOLs from the – basically the capital investments that we have made and tax depreciation. So it shouldn't be material. Our effective rate, as I mentioned, will be 21%. The only thing – the other thing I'd like to add is that from a free cash flow standpoint, it should be positive. I mean, as I mentioned, CapEx is $10 million on a run rate basis and you can do the calculation on EBITDA interest and those kinds of things and you get to a positive free cash flow number.
John Tanwanteng: Okay, great. Finally, any thoughts or color on the AMAC value that you expect – that you might expect to get in the market, especially relative to the, I guess, the evaluation that was received when you had your shares repurchased earlier this year?
Pat Quarles: Yes, I think, the process itself is going to define its value and that's why we wanted to work with global recognized and investment bank that has expertise in mining. And our expectation is through the process and the due diligence of how the mine is performing, life of mine calculations and where it's headed operationally, that's going to be the basis for defining its value. We're really encouraged frankly by the path AMAC is on right. That we’re seeing they had a change of management about two years ago, turned around how they go about their business. We saw really consistent improvement throughout last year on their production and therefore profitability. And we expect that to continue this year. And we think that's going to weigh positively on the market's view of its value. 
John Tanwanteng: Okay. It was that net profit number you gave before depreciation and amortization, a good proxy for cash flow from the mine?
Sami Ahmad: It's a good cash flow for – good proxy for cash flow, yes.
John Tanwanteng: Okay, great. Thank you so much.
Sami Ahmad: That's why I gave that number. Okay, thanks a lot.
Operator: And that concludes today's question-and-answer session. I'd like to turn the call back to Pat Quarles for closing remarks 
Pat Quarles: I want to thank everybody for joining today and for your questions. I also really want to thank our employees for the work that they've done over these last several months. I still find it – I'm grateful for their attention to detail and keeping themselves and everyone around them safe since October. As I said earlier that's foundational to how manufacturing companies should run. And I'm pleased with it and I want to thank them. As for kind of further engaging with our shareholders, I'll be presenting at Gabelli’s G.research 10th Annual Specialty Chemicals Conference in New York next week on March 13. And I'll be available after for meetings. And in addition, I'll be available for one-on-ones at the 31st Annual ROTH Conference in Dana Point, Orange County, California on March 18 and 19. And we look forward to updating you on our progress in the coming months. Operator this concludes our remarks.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect.